Operator: Good afternoon and welcome to Universal Technical Institute's Fourth Quarter 2014 conference call. [Operator Instructions]. At this time, I'd like to turn the conference over to Mr. John Jenson, Vice President and Corporate Controller of Universal Technical Institute. Please go ahead.
John Jenson: Hello and thanks for joining us. With me today are Kim McWaters, Chairman and CEO and Eugene Putnam, President and CFO. During today's call, we will review the results of our fourth quarter and the full year and then we'll take your questions. Before we begin, we must remind everyone that except for historical information, today's call may contain forward-looking statements as defined by Section 21E of the Securities Exchange Act of 1934 and Section 27A of the Amended Securities Act of 1933. I'll refer you to today's news release for UTI's comments on that topic. The Safe Harbor statement in the release also applies to everything discussed during the conference call including initial comments by management as well as answers to your questions. During today's call, we'll make reference to EBITDA which is a non-GAAP measure representing net income exclusive of interest, income taxes, depreciation and amortization. The schedule provided in the earnings release reconciles EBITDA to the nearest corresponding GAAP measure net income. And now I'd like to turn the call over to Kim McWaters, our Chairman and Chief Executive Officer. Kim?
Kim McWaters: Thanks, John. Hello, everyone and thanks for joining us on the call today. For nearly 50 years, Universal Technical Institute has stood for success for our students and for America's transportation industry. We've given our students the quality education they need to build careers they love. We've trained the skilled employees our industry partners and our economy need to thrive. We've championed America's middle-class and helped our graduates find their own American dream and while 2014 was a challenging year for our business, it did nothing to dampen our resolve or curtail our commitment to our students and the industry leaders who employ them. We stay true to our purpose and we have used these difficult times to create a business that is leaner, smarter and poised to capitalize on the eventual recovery in our sector. So despite the difficult cycle and year, I'm pleased with the progress we've made in a number of areas. I continue to feel confident about our business overall, the strength of our strategy and our ability to produce solid results. I believe in our purpose and our people and know that after being in business for 50 years, UTI continues to be fundamentally strong. We're an industry leader with a recognizable and respected brand. We have a sound balance sheet with no long term debt, a solid management team and a culture of integrity and compliance. Leading manufacturers and the transportation industry have chosen to partner with UTI, MMI and NASCAR Tech. They rely on us to train the highly skilled professional technicians they need. Our extensive industry partner relationships provide resources that help us give students an education that is both current and relevant and aligned with employers' needs. We're widely known and respected for our student outcomes, for providing students with a high-quality education that prepares them for gainful employment and success in their field of study. Our graduation rates and cohort default rates clearly demonstrate the quality of the UTI education. And our 88% graduate employment rate in 2014 confirms that our graduates leave UTI ready for success. These fundamental strengths have been hallmarks of UTI for nearly 50 years and we’re building on those strengths and responding to the challenges in our sector with a clear, focused strategy. Remember, our strategy for the future primarily focuses on strengthening our relationships with industry, opening new campuses and growing our market share, making a UTI education more affordable and convenient, shifting perceptions and building advocacy with key audiences and influencers and operating as efficiently as possible. Today UTI is a much leaner, more efficient company than we were just a year ago. We've streamlined our processes, implemented new technologies that are creating real efficiencies and aligned our organization with our current student population and our key priorities. As a result, we're giving students a quality educational experience, while at the same time lowering costs. This allows us to deliver results for our shareholders and to continue making thoughtful investments to grow. To grow our business, at the beginning of the year, we will launch our blended learning curriculum and our diesel technology program at our Orlando campus. Later in the year, we will open our new campus in Long Beach with our auto, diesel and collision repair programs. Smaller, more locally focused campuses like Long Beach make a UTI education more convenient and affordable for our students. These types of campuses are the way of our future as evidenced by our Dallas campus that has been steadily operating at capacity. We believe there are other markets for new campus expansion and we will share the timing and location of our next campus in the coming year. We have and will continue to manage this business to deliver results even in the toughest times, improving efficiencies and lowering costs so we can invest in our priority initiatives. Our fundamental business is solid and our strategy is strong. We’ve a group of skilled and extremely committed employees and we're confident in our ability to deliver success for our students as well as long term value for our shareholders. And with that, I'll turn it over to Eugene for a look at our fourth quarter and full year results. Eugene?
Eugene Putnam: Thanks, Kim. Our continued effort to control costs as well as an increase in tuition per student, resulted in operating income of $3.9 million for the quarter, a meaningful improvement compared to the operating income of $1.4 million in the same period last year, an improvement which is consistent with last quarter's guidance. We began the quarter with approximately 400 fewer students than we had at this time in 2013. With a 60 basis point decline in show rate, we experienced a drop of 7% in new student starts, also consistent with our previous guidance. Lower student populations, slightly offset by higher-average revenue per student, led to revenues of $95.3 million in the quarter which were down about 0.5 a percent from last year. Average revenue per student was up slightly from $6600 to $6800 per student. Tuition excluded $4.8 million related to our proprietary loan program, compared to $4.1 million in the fourth quarter of 2013 reflecting continued difficulties for students and parents to secure financing for their education. As a reminder, we recognize revenue from this program when we receive payments. Revenue for the full year was $378 million which was also down about 0.5 a percentage point compared to $380 million in 2013. Our work to balance the quality and quantity of inquiries resulted in a slight increase in advertising expense which was $9 million for the quarter. As a percentage of revenue, advertising expense was 9.4% for the quarter and 10.4% for the full year both of which were slightly higher than the rates for the same period last year. Managing expenses continues to be a very important focus while we're working to increase our student populations. During the past year, we implemented key process improvements and technology solutions to operate more efficiently and effectively in our current business environment. We have and we will continue to manage our variable costs to appropriately align with our student populations and we continue to look for opportunities where costs may be either deferred or avoided. During the quarter, we implemented the first phase of a restructuring, with the second phase being completed in October. In total, approximately 100 employees were affected. We anticipate that the restructuring will result in savings of approximately $9.4 million during 2015. We incurred severance costs in the fourth quarter of approximately $1.3 million pretax and will incur an additional charge of approximately $1.2 million in the first quarter of 2015 -- both related to the restructuring. For the purposes of comparison, we also had severance costs in last year's fourth quarter of approximately $1.6 million. Bad debt expense as a percentage of revenue was 1.2% in the fourth quarter and 1% for the full year. We generated $9.2 million of EBITDA in Q4 compared to $7.1 million in last year's fourth quarter. For the full year, EBITDA was $29.1 million versus $29.9 million last year. Our fourth quarter net income of $1.6 million or $0.06 per diluted share compares to net income of $900,000 or $0.04 per diluted share in the fourth quarter of last year. For the full year, our net income was $2 million or $0.08 per share, compared to $3.9 million or $0.16 per diluted share in 2013. Pretax severance costs referred to earlier negatively impacted earnings per share this quarter by approximately $0.04. The provision for income taxes for the quarter was $1.9 million or nearly 55% of pretax income, compared to $800,000 or 47% in the prior year. Our provision for taxes for the year was $3.7 million or 65% of pretax compared to $3 million or 44% last year. As previously discussed, a write-off of deferred tax assets related to stock-based compensation awards granted in prior years adversely impacted the income tax rate. This non-cash write-off resulted in $300,000 in additional book tax expense for the fourth quarter and $900,000 for the year. In future periods, we will likely experience variability in our income tax expense and rate, depending on the price of our common stock and the timing of expiration, exercise and vesting of past stock-based awards. This variability could result in income tax rates that are substantially different from the federal statutory and/or our historical tax rate, due to these non-cash charges. If our stock price remains relatively consistent with the last quarter's average price, the impact of any adjustment to the asset in related income tax expense for the year ending 2015 is expected to be in the range of $500,000 to $1.2 million. Looking at our balance sheet, we had cash, cash equivalents and investments of roughly $96 million at the end of the fourth quarter about the same as last year. And in 2014, we generated cash from operations of $27 million, also roughly the same as last year and we continue to have no long term debt on our balance sheet. During the quarter, we invested $4.2 million in fixed assets up from $2.7 million last year. For the full year, we invested $12 million in fixed assets which was up from $9.4 million. Finally, we returned $11.3 million to shareholders during the year through dividend payments and share repurchases. Now I'll turn it back over to Kim for some detail on our marketing and admissions efforts.
Kevin Walbridge: Thanks, Eugene. Looking at the quarter, both inquiries and applications were down approximately 20% compared to the prior year. Inquiries were down year-over-year due to the lingering impact of the TCPA language on our inquiry conversion, increased competition and related costs as well as some creative wear in our primary television spot. Enrollment applications were certainly impacted from a difficult inquiry acquisition environment, but also recall that we increased our registration fee last March which makes the year-over-year comparison more challenging. We expect that to continue until April before seeing application growth through the second half of the year. Looking at student demand from a bigger-picture perspective, the unemployment rate is forecasted to decline in 2015 and 2016, but at a lesser rate before stabilizing. While this remains a headwind for UTI, we also see opportunity. A recent Bain & Company study estimated that in the sector we serve more than 30% of the population is either unemployed or underemployed. We believe that the farther we get from the great recession and the longer perspective students are in low skilled, low-paying jobs, jobs that they took out of desperation, the more likely they will consider an education that can improve their career opportunities. We also know that consumer confidence is improving. Incomes are starting to rise, household equity is improving and consumers are beginning to borrow again. Following the recession, millennial students have been postponing major life decisions like home ownership, marriage and education but that will eventually catch up. One thing we know for sure is that millennials want to be happy and that means they won't settle for a dead-end job for long. Our new, multifaceted for-success campaign will encourage prospective students to pursue their dreams, a career as a technician versus a low or no-skill job they are likely working in today. It will ignite prospective students' passion for working on cars, trucks, bikes and boats and encourage them to consider leaving their low-skill, low-wage job in favor of a career they will love. A new campaign is one of several key initiatives designed to help potential students and the people who influence them better understand the benefits of a quality technical training and the career opportunities available in the thriving transportation industry. In 2015, we will continue our targeted efforts to help our nation's veterans get the education they need to get into a successful career as a technician. Military veterans have the skills and attributes our employers want and UTI is committed to helping them make the transition from serving their country into a successful civilian career. We’re developing new strategies to reach out to veterans and military service members at each of our 11 campuses; we're also adding a veteran center. This is a space where veterans, active-military, dependents and spouses can use our resources, research careers or simply connect with other veterans in a comfortable environment. We're also finding new ways to partner with high school administrators, counselors and teachers. For many years, we've supported STEM Education at the high school level as these courses are important building blocks for success in our programs and in today's high-tech transportation industry. We're growing our high school articulation program and are supporting major organizations such as SkillsUSA and FFA, Future Farmers of America at state and national levels, by hosting and judging competitions and providing increased level of scholarship money for the country's brightest future technicians. For the first time in decades, we're seeing states and high school districts around the country push back against the requirements for all students to take a college prep-only curriculum in high school. Several states such as Florida, Texas and most recently New York, have introduced career and technical pathways to graduation, allowing students to substitute vocational training for some college-prep classes. This provides the opportunity to further grow our articulation program with high schools across the country, giving students the opportunity to get concurrent credit for their high school career and technical courses while lowering their overall cost of education with UTI. As encouraged as we're by these trends, we know that we must continue to demonstrate the value of our education and the opportunities available in the transportation industry. We must help students overcome the affordability issues that stand between them and a quality, career-focused education. We're committed to making it easier for students to pay for, start and succeed in school at UTI. We continue work to help students choose courses and program structures that make getting an education more affordable. And to a balance of our own scholarship offerings with the increased financial support coming from our employers. This leverages our successful work in year's past to centralize our financial aid staff, to streamline our processes and to simplify the student experience overall. So with that, I'll ask Eugene to take you through the details of our work to make UTI education more affordable. As well as the investments we're making to ensure we continue to provide a quality education that prepares our students for gainful employment.
Eugene Putnam: Thanks again, Kim. While we're working to attract and start more high-quality students, we also continue to focus on ensuring our product is available where our students want and that it delivers substantial value and prepares our graduates to meet industry's needs. We're also continuing in our efforts to manage the business efficiently and to reduce costs where appropriate. We're now teaching our new state-of-the-industry blended learning curriculum at our Avondale, Dallas and Sacramento campuses, with efforts underway to roll out in conjunction with our diesel expansion at Orlando in early 2015. We’ve broken ground on our new campus in Long Beach which is scheduled to open in late summer 2015. This campus will be located in close proximity to Long Beach Airport, with access to numerous major freeways and will be approximately 140,000 square feet. As Kim mentioned, we'll offer auto, diesel and collision repair at this campus and it's designed to accommodate approximately 800 students over 2 sessions. The campus will be operated on a similar business model as our Dallas campus which is operating at full capacity and has proven to be a very successful model for us to reach more students. This location will predominately serve a commuter population, allowing students to work while going to school without the cost of relocating to an existing campus. We believe this new campus will complement our Rancho Cucamonga campus and help us fully optimize our current marketing investment in this very sizable market. Our expectation is that the campus will be accretive to operating income approximately six months after opening and we will recoup our original cash investment within approximately three years of starting the project. Similar to Dallas, this additional Southern California campus will enable us to provide convenient access to prospective students already being reached and showing interest through our large national marketing and admissions footprint. We continue to also work with our industry partners to expand, renew and extend relationships. During the past year, we expanded our footprint with both Daimler Trucks North America and Peterbilt and we extended our agreements with Mercedes-Benz, Toyota and most recently, Porsche. Our industry relationships continue to be a very important differentiator for us in the market and are becoming even more important in assisting students financially in their pursuit of their education at UTI. Our efforts to address affordability for our students are of a primary focus. We offer an estimated $13 million in merit and need-based scholarships annually. We work with employers to offer tuition reimbursement programs as well as employer paid advanced training. Our loan program helps students who are well-qualified to attend UTI, but have a gap in their financing after completing the financial aid packaging process. This year we extended approximately $22 million in loans under the program which is about the same as in 2013. The average individual loan amount during 2014 was about $4700. And during the fourth quarter, we recorded approximately $960,000 in revenue and interest from cash payments received which was up from $658,000 last year. For the full year, we recorded $3.5 million, compared to $2.3 million last year and since the program began, we have collected a total of $8.5 million in loan payments. In addition to offering this program, we continue to offer both merit-based and need-based scholarships as well as scholarships for certain groups of students, such as our military veterans. At the end of the quarter, approximately 39% of students in school were benefiting from a UTI scholarship or discount as compared to 33% last year. These scholarships and discounts reduced tuition revenue in the quarter by 3.5%, versus 3.2% last year. Our industry partners, driven by the demand they are experiencing for new technicians, have become increasingly more willing to participate in assisting students with their education. Many are now offering a tuition reimbursement program that will help students pay back their loans once they have become employed and are working. And beyond tuition reimbursement, we're partnering with the large employer groups who are interested in offering more financial assistance to our students and graduates to help offset education-related costs such as relocation, housing assistance and tool reimbursement. During the past 12 months, about 9100 students have graduated from UTI with either degree or certificates and our overall consolidated graduated employment rate of 88% was 300 basis points better than last year's already-strong rate. All of our programs experienced increases from last year's employment rate. And we also continue to see growth in overall starting wages for our graduates, reflecting the increased demand for our students. Of the 2014 graduates, 100% of the students in our motorcycle programs and approximately 41% of students in auto diesel programs graduated with manufacturer-specific training. Typically, students with this type of training in the automotive and diesel employment market find employment quicker and have the potential to earn a higher starting wage. Additionally, our employers and industry partners benefit by hiring grads with higher levels of training and who are better equipped to go right to work. Now with regard to the regulatory environment as you know the publication of the final gainful employment rules have been made and it gives us some clarity about how our programs will be measured, but as you also know, there is still plenty of uncertainty. The new rule has already been challenged, with numerous lawsuits filed. And policymakers have designed the calculations such that it is not possible for us to replicate the calculations, nor test our compliance in advance. We believe our strong and steadily improving employment rates and starting wages for our graduates puts us in a relatively strong position. But we simply don't have access to data that the government intends to use and therefore, can't predict how the new rule might impact our business. Now although the overall regulatory environment is still very challenging, I would say for the first time in five years, there is some positive news coming out of Washington. We know that the government is changing its parental loan criteria in 2015 which could mean more of our students' parents may qualify for loans. There is also discussion about reinstating year-round Pell Grants. And some in Washington have floated the idea that ATB students should be eligible again for Title IV funding. And finally, we're hopeful that the results of the midterm elections and common sense will prevail over ideology when evaluating vocational schools with quality programs and strong student outcomes. We believe these changes reflect a growing recognition of the value of vocational training and acknowledgment that there are good, needed, technical schools that might be structured as taxpaying entities and we believe UTI is one of them. That said, I want to be clear that these are very early indicators. And as we look ahead to 2015, we expect continued pressure from the headwinds that have challenged the industry for so many quarters. But when these headwinds subside, UTI should be well-positioned. Finally, let me take a minute to talk about our outlook for 2015. For the full year ending September 30, we expect new student starts as well as our average student population, to be down in the mid-single digits. While tuition increases will slightly offset the decline in average students, we expect revenue to decline approximately 3% to 4%. But despite lower revenue, with the efficiency improvements we have made and obviously excluding the impact of pre-opening costs of our new campus, we expect to see year-over-year growth in operating income. And during the second half of the year, we expect to see year-over-year growth in both new student applications and starts which should have a positive impact on 2016. Finally, capital expenditures are expected to be approximately $24 million in 2015 of which approximately $13 million will be attributable to our new campus. Due to the seasonality of our business and the normal fluctuations in student populations, I would remind you all to expect volatility in our quarterly results. And now Amy, I think we're ready to open the line for questions, please.
Operator: [Operator Instructions]. Our first question comes from Corey Greendale, First Analysis.
Corey Greendale: First of all, I apologize if I missed this; I just had a couple quick numbers questions. Kim, did you say both inquiries and applications were down 20% in the quarter?
Kim McWaters: Yes, I did.
Corey Greendale: Okay. And did you give a split among your end-markets, the high school and young adult?
Kim McWaters: No, I didn't. I can tell you that for the quarter, from an application standpoint, we saw a larger decline with the adult population, primarily concentrated with our motorcycle program. Our high school was down in the mid-single digits, as well as our military team was down. I think, as I said in the comments Corey, the application decline is certainly driven by a difficult or challenging inquiry acquisition environment. But you also have to recall about the registration fee. And as we lap that timeframe in March and April of this year, we'll see less pressure on applications. As we raised the fee, it made it -- I suppose that we wink out some of the lower-quality, non-interested students.
Corey Greendale: But you are not rethinking that application fee?
Kim McWaters: Actually, we believe we are in the right range at this point in time, especially given the significant improvement we've seen in our show rate for those who register at a higher fee. So while we tested it, we think that the higher registration makes perfect sense and we're pleased with the results that we are seeing and I think that's reflected in the show rate for the quarter, with only a 60-basis points difference from the prior year.
Corey Greendale: Okay. And then again, Eugene, I apologize if I missed this. I understand the guidance is excluding the start-up cost. Did you say what the start-up costs are expected to be?
Eugene Putnam: The start-up costs, Corey, will be in the neighborhood of $5 million to $6 million on a pretax basis. And that's the combination of personnel and non-capitalized equipment. But that will be the P&L impact.
Corey Greendale: And are there any quarters where that's concentrated or should we assume it ramps as the year goes on?
Eugene Putnam: It will ramp, but it really won't start meaningfully until the second half of the year.
Corey Greendale: And it's a similar ramp to the Dallas campus; wouldn't you expect the Long Beach campus to break even in fiscal '16?
Eugene Putnam: What we said was, it will be breakeven from an accounting perspective in 2016, yes. From a cumulative cash flow basis, it will probably take it until 2017.
Corey Greendale: And if I'm remembering right, you changed the way you were compensating your admissions people, is that right? Can you talk about any impact that you had either on turnover or on productivity?
Kim McWaters: We haven't really changed the compensation significantly. The most significant changes were several years ago but certainly it's impacting results, as we've talked about in previous calls. But there is nothing that I would say is contributing to any of the application variance inside of this year that's related to new changes in compensation. As far as retention, I think our retention of representatives continues to be strong. Obviously we had some changes in the territories and we reduced the number of reps in the previous quarter, as Eugene mentioned. But that was largely driven by the investment in technology with our new CRM system and given that investment, we are seeing improvement in efficiencies especially as we move into this fiscal year.
Corey Greendale: It's fair to say that you would attribute the decline in new students to a combination of the regulatory changes, the economic environment and the registration fee or the application fee not to your internal compensation changes?
Kim McWaters: That is correct for this period.
Corey Greendale: And just one last one for me, philosophically, what's the thinking behind opening your next new campus within driving distance of another campus, as opposed to a more greenfield or totally distant market?
Eugene Putnam: Well, as a native Southern Californian, I can tell you that while it is driving distance, it takes about the same time to get from Long Beach to the Ranch as it does Houston to Dallas. I'm exaggerating a little bit. But the logic there is simply that as we look at where our applications are coming from where our student interests are coming from, we see a tremendous amount that the new campus will serve that are not able or willing to make the drive on a daily basis which could be up to three hours round-trip maybe more to the Ranch and/or relocate. So it's a location of obviously tremendous size, tremendous demand from a student interest standpoint and tremendous employment need from our industry partners there in the -- I'm not sure we're going to end up calling it Long Beach but that kind of Long Beach, Greater South Bay, western side of Southern California, even going down the coast toward San Diego and Camp Pendleton.
Operator: Our next question comes from Jason Anderson at Stifel.
Jason Anderson: On the expenses and thanks for the color on the workforce reduction, as well as the new campus operating expenses. Just so -- you're talking a reduction, $9.5 million on the workforce reduction and then the incremental on the new campus. How should we think about any other expenses? I know you're talking about some new programs or the diesel expansion -- I don't know if that's included in that, too, but is there other expense pushes and pulls in 2015 that we should be thinking about?
Eugene Putnam: Well, there is normal inflation. Whether that is people cost, in terms of merit or cost of living increases. But in terms of significant items like new program expansion anything like that that's incorporated into the guidance that we gave you.
Jason Anderson: And then you referenced later on updating us on potential other further campus expansions. I know you're not going to pinpoint times, but how should we think about the speed of expansion? Should we expect your typical process here in length of time between or are you looking to accelerate that or how should we think about that?
Eugene Putnam: I think it's fair to say we opened Dallas in summer of 2010 and we're going to open Long Beach summer of 2015. Dallas was a new model for us that we proved out and at the same time, we were rolling out new curriculums. I think the success of Dallas, the success that we expect in Long Beach, what we know about our marketing and our ability to leverage both our national advertising and our national footprint, I think it would be wise to expect us to roll out campuses much more quickly than that five year span. They are still obviously heavily capital-intensive and human-intensive to roll out. So I don't think you could do many more than a small one or two a year, but I would expect us to probably announce another campus sometime in 2015 with an opening in 2016.
Jason Anderson: And one other here, I know you've been talking about the diesel program in Orlando and I think you referenced some other programs. Can you quantify or is there other program expansion you're expecting to be impacting 2015? And if so, is there any way you could frame that like either number of programs or contribution?
Eugene Putnam: I don't think there's anything other than Orlando that we're ready to discuss at this point. We're looking at some other very similar-type programs. But in all likelihood, they wouldn't have a significant impact on 2015 either because of the start-up time, the regulatory approval if it's a new program or if it's a manufacturer-specific program, just the time to get the graduates through and enrolled in that program. I think you'll probably hear us talk about the opening of some of them, but in terms of their impact either as a drag or starting to see some revenue I don't expect much either way in 2015. Obviously, the exception would be any acquisition that we might do.
Operator: The next question comes from Peter Appert at Piper Jaffray.
Peter Appert: So Kim, I look at your numbers in terms of great placement rates, great income levels for students, strong employer demand, it doesn't really fit all that well with the weakness in inquiries and enrollment. Would you attribute some of it to just competitive issues and this broader issue that your price point is quite high and that scares off students?
Kim McWaters: I understand the disconnect from demand and it's frustrating to us internally because we know the opportunities are so strong not only in terms of just jobs available, but also the willingness of our partners to support the cost of tuition, cost of education, so that these students can get the job. I think one of the issues is certainly getting the attention of students who are working in what might be low-skill or dead-end jobs. They're not tuning into the message yet which is the driver for some of the changes that we're making inside of 2015 with our marketing campaign and the way that we interact with them. The second thing is from a cost standpoint, I think we have tested a number of things to help the students understand the value of our education and how to fund it through various scholarship programs and now with the employer-sponsored or tuition reimbursement programs. And as we evaluated our scholarship program, we understand the level of scholarships that we should be providing students and at what point it doesn't really make a difference for them, in terms of application and/or showing to school. We believe we have that balance and therefore wouldn't be driving total I would say, wholesale cost reductions, but we’re looking at program configurations that allow students to take some shorter programs not significantly shorter, but we’ve that in the mix right now. And what we discover is the students despite having to pay more, typically want to take the longer program. They want to get all of the training that they can get. So while we're changing up the core structure and offerings to make it more affordable, students are still selecting the longer programs that actually cost more, believing that it gets them a better job on the back-end. I agree there's a disconnect, we're working hard to make certain that we’re able to communicate effectively with students and those key influencers and try to overcome some of the negative headlines. As I said, we're at that point in the cycle where people especially the millennials will get tired of being in these jobs. And they'll start saying, I'm not going to flip burgers for the next 50 years. I'm going to start looking at education and inside of this year, we'll be playing to that mindset and I hope to see that change again as we move into the first part of the new calendar year and later into our fiscal year.
Peter Appert: Eugene, is there anything you would call out in terms of just thinking about the quarterly dynamics and the start numbers? I ask this in the context of I think in the first quarter last year, the number was particularly weak because there was timing issues in terms of number of start dates and that got me thinking that your expectation of negative first half starts followed by positive second half starts and it seemed like maybe the first half should benefit a little from last year's calendar issue. If I've got something wrong on that?
Eugene Putnam: No, the calendar is basically the same this year as last year, so there is neither an easy comp or a difficult comp, they're similar comps. The fluctuation in the quarters will be similar to what we have seen, in terms of the percentage of the full-year starts being within each quarter. You'll see a strong in terms of order of magnitude, first and fourth quarter and weaker second and third quarter starts. So the guidance in terms of second half is more in terms of what we see in the pipeline in terms of contracts already written and in terms of expectations of what our admission teams are doing. Nothing that is calendar related.
Peter Appert: And then last thing, Eugene. Would there be any campuses that you would call out in terms of having disproportionately large negative impact on profitability in terms of utilization? And have you thought at all about perhaps campus consolidation as a way to address that?
Eugene Putnam: Well a couple questions there. We're always looking as appropriate and when available to right-size our campuses and I think, including the Long Beach campus, the last couple that we're doing -- and even in Lisle, when we moved to Lisle, we down-sized that campus somewhat. I think you will continue to see us do that as leases come up. No campus is a drag on contribution. The Boston area campus is no surprise, we've talked about that before, Norwood. It is the least populated, but it's still covers its costs and contributes a little bit to overhead. If its lease were up today, we would certainly be looking to reconfigure it size-wise, but I think that's normal. And I will tell you our Houston campus which is up for lease in 2016 we're looking at how best to right size that whether it stays where it is today or moves to another location. So I think that's more the process that you will see rather than some consolidation because honestly, consolidation is not what we want to see. We want to see more locations, smaller locations rather than less and fewer locations.
Operator: [Operator Instructions]. And our next question comes from Jeff Silber at BMO Capital Markets.
Jeff Silber: One of your larger competitors, WyoTech obviously the company that owns them is going through some issues. I'm just wondering if you've seen any impact on your business, accordingly?
Kim McWaters: I think the impact we've seen has just been negative headlines and those who interpret what those headlines might mean for others in the sector and so we're dealing with those just as everybody else is. But I wouldn't say that there is any negative impact, it's headline news that we're trying to battle through and make certain that we stand apart from those who might be in the headlines.
Jeff Silber: I was actually asking in a positive light, do you think that maybe you have been able to obtain some inquiries and applications that might have gone to those schools?
Kim McWaters: I think it's difficult to say. Certainly in the areas where we had schools closely located formerly in like Sacramento market, we certainly saw that. We've seen some inquiries related to those markets certainly in the Southern California area, but nothing that I would say is significant driver for increased applications or interest, I think just given the market differences.
Eugene Putnam: Jeff, I think you've seen a couple of personnel pick-ups especially on the admissions side. As you can imagine, that environment is pretty volatile, where we've had some relationships and know some quality people there, we have been successful in recruiting them, but that's a handful, not a sizable amount.
Jeff Silber: And just a few numbers questions, can you just remind me what the application fee is?
Kim McWaters: It's $50.
Jeff Silber: $50. And you're planning on keeping that the same for this coming year as well?
Kim McWaters: Yes.
Jeff Silber: And I know you called out the preopening expenses on the Long Beach campus, but I'm just curious. Are there any incremental revenues that you're including in your guidance for this year?
Eugene Putnam: No. Nothing from Long Beach.
Jeff Silber: Nothing from Long Beach. Okay, great. And also, can you just remind me, what's your total capacity currently?
Eugene Putnam: Of students? Is that your question? How many students if we were full?
Jeff Silber: Yes.
Eugene Putnam: Assuming that we didn't add sessions, the current course offering, we're probably consolidated at about 50%. We could overtime, double in size.
Operator: Our next question comes from Trace Urdan at Wells Fargo Securities.
Trace Urdan: Kim, I'm wondering what you can tell us about trends in the automotive repair market more generally. Is there anything about that job that is changing or making it somehow less desirable than it used to be?
Kim McWaters: Well, I think there are still stereotyped images that have to be overcome and we're working with the partners to change that, but if you talk with some of the OEMs what they will say is that there is less interest in younger people and the relationship with the car and that, that has disconnected people from wanting a career working on the car. It's been replaced by digital mobile technology, versus the car through community. There is some debate over that given that millennials are postponing all kinds of life decisions including getting their drivers license. So I don't know if that's actually working against us. But if you look at the environment, everything from my perspective and what we're communicating with students, has improved. The work environment has improved. The opportunities in terms of the technology versus the mechanical side of it, wage opportunities and I think over time, the stereotype is beginning to change. So I'm not certain that I understand exactly what's driving less interest in automotive technician or automotive training, as Google is reporting. But we're working hard to change that by giving students exposure to what that career is. And if I can just add on to the Long Beach conversation, about a month ago, we held a Future Tech Night with Longo Toyota, the world's largest automotive retailer, certainly for Toyota vehicles and this is in the Southern California area. And what we did is, we invited future students, high school administrators, counselors, teachers, adult prospective students in that market and graduates, all working at Longo Tech. And we hosted them that evening and they heard from their service managers, former UTI graduates who are successful there, and it really educated them about what the environment is like and what the opportunities are as well as the type of support coming from employers to get this type of education to better prepare for that career. So that's an example of how we're trying to educate people and change stereotypes. But it still seems to be a battle right now to get their attention on the matter; just given they're working and not considering education at this point in time at the level we would like.
Trace Urdan: I know you've had these programs in place for a while, I'm not sure that I know really in detail what they involve, but can you talk a little bit more about the STEM instruction that you provide to high school students and what exactly the points of connection are between you and the high schools?
Kim McWaters: Sure. So what we’re doing is helping high school instructors who have automotive shop classes or small engine classes understand how much STEM content is really included in these courses and I'll call it certifying the STEM content in these courses so that they can get funding for the courses, they can be considered as part of the required courses for students to graduate. STEM is certainly something that the country needs and that is top-of-mind for educators and we're helping to ensure that those key elements are included in these vocational educational programs, so they actually continue to exist at the high school level. So what we do is we bring in instructors and counselors to a campus, we educate them and teach them how to quantify the STEM content and then they can go back into their classrooms and back to their districts to secure funding to keep those programs alive.
Trace Urdan: Do you do any work like that at the district level?
Kim McWaters: We do it at district. Yes, we do and it depends on the state that we're working in. In some areas we've had more traction than others. But I would say we are hand selecting high schools in districts where we know we're making a difference and continuing to invest in those. We've had hundreds of instructors go through this as well as counselors, and that obviously creates greater value for the students in high school and exposes them to the type of training that UTI offers as well as the career opportunities beyond our training.
Trace Urdan: Have you found it allows you or that it leads more directly to your ability to recruit those students at those high schools?
Kim McWaters: Yes we have, definitely.
Operator: [Operator Instructions]. Seeing no further questions, I would like to turn the conference back over to Kim for closing remarks.
Kim McWaters: Thank you, Amy and thank you all for joining us today. We appreciate your interest and questions in Universal Technical Institute. We look forward to updating you on our first quarter in the first part of February. Have a great evening. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.